Operator: Hello and welcome to the Hamilton Insurance Group Earnings Conference Call. As a reminder, this call is being webcast and will also be available for replay with links on the Hamilton Investor Relations website. I'd now like to turn the call over to Darian Niforatos, Vice President of Investor Relations and Finance. Please go ahead.
Darian Niforatos: Thanks, operator. Hi everyone and welcome to the Hamilton Insurance Group first quarter 2025 earnings conference call. The Hamilton executives leading today's call are, Pina Albo, Group Chief Executive Officer; and Craig Howie, Group Chief Financial Officer. We are also joined by other members of the Hamilton management team. Before we begin, note that Hamilton financial disclosures, including our earnings release, contain important information regarding forward-looking statements. Management comments regarding potential future developments are subject to the risks and uncertainties as detailed. Management may also refer to certain non-GAAP financial measures. These items are reconciled in our earnings release and financial supplements. With that, I’ll hand it over to Pina.
Pina Albo: Thank you, Darian and hello, everyone. Let me start by welcoming you all to Hamilton's first quarter 2025 conference call. I'm very pleased to report another profitable quarter for Hamilton despite the fact that global insured catastrophe losses were over $55 billion for the quarter, driven primarily by the California wildfires. Starting with the headline results. Our catastrophe loss ratio this quarter was 30.2%, which includes our California wildfire net loss estimate of $143 million. This number is net of reinsurance and reinstatement premiums and does not take into account any potential recovery benefits, for example, for subrogation. Also as a reminder, this estimate is within the $120 million to $150 million range, which we announced during last quarter's earnings call. Notwithstanding the catastrophe losses, Hamilton had a very strong start to the year. Our attritional loss ratio was 51.9%, exemplifying the stability of our underlying book, which is running where we would expect. Our gross premiums written increased by 17% in the first quarter. Investment results were significant with a total investment return of $167 million, a result that more than offsets our catastrophe losses. Finally, in terms of headline numbers, our net income of $81 million represents a 13.7% annualized return on average equity for the first quarter. I would now like to focus on our two reporting segments, particularly their top line growth this quarter. Each of our segments, Bermuda, which is comprised of Hamilton Re and Hamilton Re U.S. and International, which houses Hamilton Global Specialty and Hamilton Select, enjoyed double-digit growth. Starting with Hamilton Re, which renews approximately 40% of its business during the first quarter, we wrote $473 million in gross premiums, an increase of 18% over last year. This increase was primarily driven by casualty and property classes. In Casualty, we continue to take advantage of two things: first, the favorable market environment with tighter limits and stronger underlying rates; and second, our A.M. Best rating upgrade to A. The latter led to new business as well as opportunities for us to increase a number of the line sizes on our renewal business across both our Hamilton Re Bermuda and our U.S. underwriting platforms. In property, a significant portion of the increase was related to reinstatement premiums from the California wildfires. That said, we were also successful with some targeted new business growth and therefore, still showed growth over the prior year when excluding reinstatement premiums. In general, we feel property cat business is still attractively priced, and it also enjoys the improved terms and conditions and higher attachment points from the market reset in 2023. Before I move on to International, I'd like to say a few words specifically about Hamilton Re's recent growth in casualty. Again, we view the current casualty environment as attractive, so we continue to lean in, albeit in a highly selective and disciplined manner. By selective, I mean that we focus on building strong relationships with key clients with whom we enjoy a broad trading relationship and on becoming a more relevant trading partner with them. Key target casualty clients for Hamilton are those that have a very strong underwriting and claims handling culture, are good at actively managing market cycles and keep a significant amount of their exposure net, thus ensuring alignment of interest. By disciplined, I mean that each casualty deal is actuarially reviewed with a view of risk and a loss ratio that is independent from those of our cedents and brokers and reflects what we believe to be a cautious view of loss trends, including social inflation. Moving to our International segment. We wrote $370 million of gross premiums, an increase of 15% over the prior year. This growth was primarily due to the healthy flow of U.S. E&S business we saw in the quarter. U.S. E&S makes up the majority of the business we write in International. Our product diversification and expertise in both Hamilton Global Specialty and Hamilton Select allow us to grow in the areas we deem most attractive and shrink or exit those where we do not believe we are getting adequate rate. Hamilton Global Specialty, which is the largest contributor to the International segment, increased most in property and specialty classes. In property, we grew most with a particular long-standing account, which has been very profitable for us historically. In Specialty, we grew most in personal accident, fine art and species and marine lines, where our expertise is well recognized. As a reminder, Hamilton Global Specialty houses our Lloyd's underwriting operation, Hamilton Syndicate 4000. A few weeks ago, we reported our 2024 Lloyd's results, and I'm proud to say that our syndicate remains in the enviable position of being amongst the syndicates with the highest profitability and lowest volatility over a 10-year period. We have a consistently strong track record at Lloyd's, and each year, we continue to build on that success. Lastly, the International segment includes Hamilton Select, our hard-to-place U.S. E&S platform, which grew 51% this quarter. Our strongest growth came from excess casualty, products and contractors and general casualty classes. We are keeping a sharp eye on pricing trends in all of our offerings and we'll adjust our underwriting appetite as needed. I will now turn to the April 1 and upcoming midyear reinsurance renewals. I will be brief as I'm sure you've heard plenty of commentary regarding movements in rates, trends and the like on earlier calls. Regarding the 4/1 renewals, which are largely Japanese accounts, attachment points and terms and conditions remained relatively stable. Pricing saw some modest decreases as expected because this market is largely decoupled from the losses seen in the U.S. For U.S. 4/1 property cat renewals, consistent with what we said last quarter, loss-free U.S. programs renewed with modest rate reductions, while loss-affected programs experienced rate increases. There were a handful of casualty renewals at 4/1 and market discipline remains there, too, with rates largely keeping pace with loss costs. As for the upcoming midyear renewals, which are largely property driven, we are seeing increased demand and stable supply. This will likely result in pricing being similar to what we experienced so far this year. Loss-affected accounts will see rate increases, and it is important to note that a number of the larger accounts affected by the wildfires and the 2024 hurricanes are renewing in this period. Before I turn the call over to Craig, I'd like to address the continued economic and geopolitical uncertainty the world is facing, particularly the more recently announced tariffs and the potential for a recession. Regarding tariffs, it is still early days, but it is important to note that they have an indirect impact on our business as we are a financial services provider. While there remains much uncertainty around tariff policies and their impacts, we are currently anticipating that the primary impact will be loss cost inflation in certain lines and the secondary impact could be to the broader trading environment. When we think about potential loss cost inflation, we believe our exposure is most material in property lines. However, we perceive this exposure as very manageable at the present time, and we have the framework and the models already in place and fully operational to react to this risk as it develops. When it comes to the broader trading environment, we are used to thinking about this kind of risk, and we'll continue to monitor it closely and react accordingly. Regarding the possibility of a recession, as you will have heard from many of my peers, insurance and reinsurance are not luxury purchases and therefore, rather resilient in this context. Against this backdrop, we believe we are still in an attractive trading environment, are capable of navigating risk and are, therefore, able to enjoy thoughtful and selective double-digit growth in our top line. Our attritional loss ratios, the barometer of the health of our underlying business are stable, and we have an experienced and disciplined team and a strong balance sheet. With that, I will now turn the call over to Craig to go over our financial results in more detail.
Craig Howie: Thank you, Pina and hello everyone. Hamilton is off to a strong start for the year with net income of $81 million equal to $0.77 per diluted share, producing an annualized return on average equity of 13.7%. We also increased book value per share to $23.59. This compares to net income of $157 million or $1.38 per diluted share and an annualized return on average equity of 29.5% in the first quarter of 2024. Before I move on to details around our underwriting and investment income components for the quarter, I wanted to point out some new metrics we've added to our financial supplement disclosures this quarter. We are now reporting operating income, operating income per share and operating return on average equity. We define operating income as net income, excluding, one, net realized and unrealized gains or losses on investments in our fixed maturity and short-term investment portfolios; and two, foreign exchange gains or losses. To clarify, we are including the realized and unrealized gains and losses from the Two Sigma Hamilton Fund in our definition of operating income. We understand that many of you have asked for a disclosure of operating income to more readily compare Hamilton with some of our peers. While I will not discuss operating income in any more detail on today's call, we will begin providing commentary around this result next quarter. In the meantime, if you have any questions, please feel free to reach out to Investor Relations. Moving on to our underwriting results. Hamilton continues to grow its top line at a thoughtful double-digit rate. As Pina mentioned, our first quarter 2025 gross premiums written increased to $843 million compared to $722 million this time last year, an increase of 17%. Both our reporting segments, International and Bermuda continue to lean into favorable market conditions. For the first quarter, Hamilton had a $58 million underwriting loss, primarily driven by the California wildfire catastrophe loss estimate in the quarter. This is compared to underwriting income of $33 million in the first quarter last year. The group combined ratio was 111.6% compared to 91.5% in the first quarter of 2024. Again, the increase in the combined ratio was primarily driven by the catastrophe losses. Starting with the loss ratio. In the first quarter, the loss ratio increased 18.9 points to 79.2% compared to 60.3% in the prior period. The increase was primarily driven by $151 million or 30.2 points of net current and prior year catastrophe losses, primarily driven by the California wildfires. This compares to catastrophe losses of less than $0.5 million reported in the first quarter last year. The attritional loss ratio was 51.9%, a decrease of 5.3 points compared to the first quarter last year. The primary reason for the decrease was the first quarter of 2024 included the Baltimore bridge loss. Again, our underlying diversified book of business continues to perform well. We had favorable prior year attritional development of 2.9 points, driven predominantly by specialty and property classes. This compares to 3.1 points of unfavorable development in the first quarter last year. The expense ratio increased 1.2 points to 32.4% compared to 31.2% in the first quarter last year, with acquisition costs being slightly higher and other underwriting expenses being slightly lower. The increase in acquisition expenses was mainly driven by higher profit commissions and a change in business mix. As always, I'd encourage you to use the full year 2024 attritional loss and expense ratios as an indication of where we expect the current book to perform. Next, I'll go through the first quarter results by reporting segment. Let's start with the International segment, which includes our specialty insurance businesses, Hamilton Global Specialty and Hamilton Select. For the first quarter of 2025, International gross premiums written grew to $370 million from $321 million, an increase of 15%. This was driven by growth in our property, casualty and specialty insurance classes. International had an underwriting income of $1 million and a combined ratio of 99.7% compared to underwriting income of $5 million and a combined ratio of 97.2% in the first quarter last year. The increase in the combined ratio was primarily related to catastrophe losses in the quarter. International had $29 million of net catastrophe losses completely driven by the California wildfires compared to negligible net catastrophe losses in the first quarter of 2024. The international current year attritional loss ratio decreased 3.9 points to 52.1% in the first quarter compared to 56.0% in the first quarter last year, which included the Baltimore bridge loss. The expense ratio increased by 0.9 points to 39.1% compared to 38.2% in the first quarter last year. The increase in the expense ratio was primarily driven by increased profit commissions included in the acquisition expense ratio, partially offset by a lower other underwriting expense ratio. I will now turn to the Bermuda segment, which houses Hamilton Re and Hamilton Re U.S., the entities that predominantly write our reinsurance business. For the first quarter of 2025, Bermuda gross premiums written grew to $473 million from $401 million, an increase of 18%. The increase was primarily driven by new and existing business in casualty and property reinsurance classes, including nonrecurring reinstatement premiums related to the California wildfires. Bermuda had an underwriting loss of $59 million and a combined ratio of 122.8% compared to underwriting income of $27 million and an 85.5% combined ratio in the first quarter last year. The increase in the combined ratio was primarily related to catastrophe losses in the quarter. Bermuda had $121 million of net catastrophe losses, primarily driven by the California wildfires of $131 million and partially offset by favorable prior year catastrophe development of $9 million. This compares to no net catastrophe losses in the first quarter of 2024. The Bermuda current year attritional loss ratio decreased by 6.6 points to 51.8% in the first quarter compared to 58.4% in the first quarter last year, which included the Baltimore bridge loss. The Bermuda expense ratio increased by 2.3 points to 26.2% compared to 23.9% in the first quarter of 2024 due to a change in business mix, specifically an increase in quota share business and reduced performance-based management fees, partially offset by growth in the premium base. Now turning to investment income. Total net investment income for the first quarter was $167 million compared to investment income of $148 million in the first quarter of 2024. The fixed income portfolio, short-term investments and cash produced a gain of $64 million in the quarter compared to a gain of $5 million in the first quarter of 2024. As a reminder, this includes the realized and unrealized gains and losses that Hamilton reports through net income as part of our trading investment portfolio. The fixed income portfolio had a return of 2.4% or $59 million and a new money yield of 4.8% on investments purchased this quarter. The duration of the portfolio remains at 3.4 years. The average yield to maturity on this portfolio was 4.5% compared to 4.7% at year-end 2024. The average credit quality of the portfolio remains strong at Aa3. The Two Sigma Hamilton Fund produced a $104 million gain or 5.5% for the first quarter of 2025 compared to a $143 million gain or 8.3% in the first quarter last year. The latest estimate we have for the Two Sigma Hamilton Fund year-to-date performance was 7.9% through April 30, 2025. The Two Sigma Hamilton Fund made up about 40% of our total investments, including cash investments at March 31 compared to 39% at December 31, 2024. In the second quarter of 2024, we announced a $150 million share repurchase authorization by the Hamilton Board of Directors. During the first quarter of 2025, we used $10 million of that authorization to repurchase shares that were priced below book value. With $112 million remaining under our share repurchase authorization, we are able to continue repurchasing shares, growing the book of business, all while maintaining our strong capital position even during times of uncertainty. Next, I have some comments on our strong balance sheet. Total assets were $8.3 billion at March 31, 2025, up 7% from $7.8 billion at year-end 2024. Total investments in cash were $5 billion at March 31, an increase of 4% from the $4.8 billion at year-end 2024. Shareholders' equity for the group was $2.4 billion at the end of the first quarter, which was a 3% increase from the $2.3 billion at year-end 2024. Our book value per share was $23.59 at March 31, 2025, up 3% from year-end 2024. Thank you. And with that, we'll open up the call for your questions.
Operator: [Operator Instructions] Our first question comes from Mike Zaremski from BMO. Please go ahead, your line is open.
Michael Zaremski: Hey good morning. Our first question, maybe a more broad question on the casualty line of business. Pina, I heard your comments about the A.M. Best upgrade, which I believe unlocks on the casualty reinsurance side, you get -- look at more business. It also sounded like you all were on top of that playing some offense in that line of business, too, maybe in both reinsurance and insurance. Curious if you could offer any maybe high-level thoughts on what loss trend assumptions you and/or your cedents are applying, is it low double digit, teens, single digits? I don't know if there's any context you can offer. You brought up social inflation earlier, it seems to still be kind of a key question we get from investors, that's why I asked.
Pina Albo: Great, Mike. Why don't I just start generically and then I'm going to get to that specific question at the end. I think I'm going to start by saying we are very happy about the client and broker response to our A.M. Best upgrade and what we've seen as a result, both in terms of new business and the opportunity to upsize what were traditionally rather small participations on casualty in the past. And just for some flavor, we grew $40 million of casualty premium in the first quarter. That's predominant, sorry, that's a premium in the first quarter on the back of that A.M. Best upgrade, predominantly casualty premium and what we're seeing is that the market conditions remain very attractive, double digit. It's keeping pace with trends for the lines that we're writing. So I'm going to say in those lines, we're seeing low to mid-teens on our clients' books. But we're very, very selective about the clients, as I mentioned, that we are targeting for casualty growth and those parameters that I set out about the underwriting culture, the claims culture and specifically their willingness to retain a significant portion of their book are very key components to the clients that we are partnering with here. So all-in-all, we think that the opportunity of this A.M. Best upgrade coming at a time where underlying market conditions are strong on casualty and where others perhaps are still backing away because they may have been outsized gives us a very particular opportunity at this time.
Michael Zaremski: Got it. That's helpful on kind of the pricing levels, so I kind of back into assuming loss cost is probably a little lower than that. Switching gears a bit, the overall combined ratio, just to be clear, kind of in line with kind of what consensus was expecting. I know there's always kind of movement in expense ratio and attritional loss ratio, and it was good to see a lot of reserve releases, too. But the underlying loss ratio was a bit higher than expected consensus-wise in both segments. I know that in the mix, I think, in international on casualty, it grew a lot, I think, in Bermuda, but didn't -- casualty didn't grow in a total proportion that much in international, which I assume casualty would have a higher attritional loss ratio. So just curious, any color or any guidance you want to offer on whether some of the movement in the attritional loss ratio, we should not run rate or maybe it's just quarterly kind of normal fluctuations? Thanks.
Craig Howie: Hi mike, this is Craig. I'll take that question. Our current year attritional loss picks for the first quarter are in line with our expectations for sure. It really depends on the mix of business. For example, writing more casualty or more pro rata business would carry a higher loss pick and that's what you're seeing here. I also want to remind you, you may recall that we increased our 2024 casualty loss picks in the third quarter last year when we saw indications of higher social inflation, and that continues in our loss picks for 2025. What I would tell you, again, I would tell you to look at the full year 2024 loss ratios as a guide for how we expect our current book to perform.
Michael Zaremski: Okay, got it, helpful and I'll just sneak one last one in. Did you all quantify the reinstatement premium level this quarter? I don't feel like I saw it in the release.
Craig Howie: We did, Mike. We put it into the press release as well. It was $17 million on a net basis between the two, between reinsurance and insurance.
Michael Zaremski: Okay, missed that, thank you.
Operator: Our next question comes from Tommy McJoynt from KBW. Please go ahead, your line is open.
Thomas Mcjoynt: Hey, good morning guys. Thanks for taking our questions. When you talk about the shift in the business mix, can you talk about how that's impacting the expense ratio that came in a little bit different than we were expecting. And if you could break it down by perhaps the two pieces of net expense ratio, that would be helpful. Thanks.
Craig Howie: Yes. Tommy, what I would say to you, from an overall perspective, it does impact your acquisition expenses, and that's really where you're seeing this. So from a business mix perspective, the acquisition expenses went up for two reasons. One is business mix and two is profit commissions. In other words, that are paid out that get included in the acquisition expense ratio. But from a business mix standpoint, as I just said, Bermuda, you saw wrote more casualty business and more pro rata business, so both of which would have higher acquisition costs. And on the international side, I would point to something like property binders that would have a higher acquisition cost. So that is clearly in line with the business mix, the change in business mix. From another underwriting expense ratio standpoint, that is not the same. What I would say to you is that is something that we have control over. And as we continue to scale up our book, we would expect those other underwriting expense ratios to continue to decline, which it has declined. That ratio has declined each and every year since 2019.
Thomas Mcjoynt: Okay, got it. And then switching gears, your comments sounded pretty positive on the casualty growth opportunity. When we listen to some of your peers across the insurance reinsurance space, we hear instances of significant amounts of non-renewals across various casualty businesses. When you feel like you're gaining market share in the casualty side, is the way you get comfortable around winning that business, is it just price? Is it a change in terms and conditions? What gives you conviction that the casualty business you guys are winning is indeed good business?
Pina Albo: Hi there. I'll take that. So I think when you look at a number of our peers, they've been around for a lot longer than we have. So firstly, their exposure to those casualty classes and also the amounts that they have written is significantly larger than ours. We only started really leaning in and again, modestly into the casualty space in end of 2020, 2021. So, and that's when underlying rates started picking up. With the benefit of this A.M. Best upgrade, we are -- it's very opportune because as some of our clients who have this longer tail exposure or are overlined are cutting back or backing out, we are being given the opportunity to see the business. And again, we see a lot more business than we actually write. Again, we have targeted the clients that we want to do business with in advance, and those are the ones that we seek and try to do business with. So ours is a very selective approach. And again, I think it's also important to note that even on some of this growth you're seeing, it's not massive line sizes. We are -- we have smaller line sizes on these accounts, but over a swath of accounts that gives us the balance. So I'm going to have 1% to 2% share on some of these quota shares. So that's how we are getting comfortable with the growth at this time.
Thomas Mcjoynt: Thanks Pina and then just last one to sneak in. I just want to clarify. The Two Sigma return, I think the 7.9%, was that a year-to-date return? Was that an annualized return? Could you clarify what that number is referring to?
Craig Howie: That's our year-to-date return through the end of April. So in other words, it was 5.5% through the end of March. That number that we gave on the call was through the end of April.
Thomas Mcjoynt: Thank you.
Operator: [Operator Instructions] Our next question comes from Elyse Greenspan from Wells Fargo. Please go ahead, your line is open.
Elyse Greenspan: Hi, thanks. Good morning. My first question is on the buyback, right? You guys bought back $10 million in the quarter. Obviously, shares still trading below book. As you guys think about growth outlook, I think you mentioned Pina, continuing to think you guys can hit double-digit top line growth. As you think about that, pricing and competitive views as well? And how do you think about just growth needs, capital for growth needs, I'm sorry, and balancing incremental capital return with where your shares are trading?
Craig Howie: Elyse, this is Craig. Thanks for the question. First of all, I would say, yes, the buybacks this period were only $10 million. And when I say only $10 million, it was a very short open window for us during this period because of the year-end financials coming out later and then just having a very short open window. We still have plenty of capital for both growth as well as continuing to buy back shares even in an uncertain marketplace like this and especially at the valuation of where our shares trade today. So I don't see any constraints on a growth or a buyback side.
Elyse Greenspan: And then you guys had mentioned I think having another $80 million this year, right, from the A.M. Best upgrade in terms of premiums. What did you guys see in the Q1? And is the expectation still that we'll see $80 million this year?
Pina Albo: Thanks, Elyse. I think I mentioned we wrote an additional -- we track the new business or additional line sizes that are related to our upgrade. And in the first quarter, I think I mentioned we did $40 million. That's predominantly casualty. There is some specialty class in there as well, but it's not a major part of that. So $40 million in the first quarter. So I guess all I can say to that is that we are comfortable with the previous guidance we gave of $80 million for the year based on that for sure.
Elyse Greenspan: And then one last one on reserves. Craig, you highlighted, right, the favorable development in the quarter. I guess two things, were there any adverse development right that the releases offset or was it just releases? And then what accident years was that concentrated in?
Craig Howie: Elyse, so first of all, it was predominantly casualty, I'm sorry, predominantly property and specialty that we released. There were some casualty reserves, roughly $1 million that were unfavorable during the quarter, but that was not what was driving the favorable development for sure. What we did see this quarter, you may recall, we don't really complete any of our reserve studies in the first quarter. What we saw were a couple of claims that were settled that were settled for less than what we had reserved for. An example was one of the claims settled at half of the industry loss estimate. So we were able to reduce our reserves upon that settlement and reflect that in our favorable development in the quarter. That's essentially what came through. From a catastrophe standpoint, we also went back and looked at Hurricane Ian. That review was not completed in the fourth quarter with the rest of our property reviews that were done in the fourth quarter of 2024. But when we reviewed that in the first quarter, we determined that we could adjust or lower that reserve estimate. But we do still hold IBNR for that event that happened in 2022, Hurricane Ian.
Elyse Greenspan: Thank you.
Operator: Our next question comes from Mike Zaremski from BMO. Please go ahead, your line is open.
Michael Zaremski: Hey, great. Just a couple of quick follow-ups. Craig, on the short window for buybacks. Just curious, is Hamilton Group's window shorter than most companies? Or is it -- if you could remind us kind of the technicalities around when the 10-K comes out or how that works?
Craig Howie: Yes. It's really when we release our -- at the time we released our 10-K and after we had our Board meeting was later in the process than some of our other peers, so maybe a couple of weeks shorter. That will change in the future, number one. And the reason I say that is our Board dates were set prior to becoming a public company. So we were just a little bit later in the process than many of our peers, and we actually filed in the first week of March. was when we filed the K. What I would say to you now is we are an accelerated filer. So in other words, those reports are going out faster, and we will have a longer open window to be able to buy back those shares.
Michael Zaremski: Got it. And one more probably for you, Craig. On the two Sigma returns, are you apprised of those returns kind of on a monthly basis or do you find out like towards the end of the quarter or after the quarter or is it, I'm just curious on the kind of how those returns are shared with you all.
Craig Howie: Yes. We have those returns on a monthly basis, which is why I gave in my remarks on the call, I gave the number at the end of April because that was the latest information that we had on the Two Sigma account. That's the reason we gave that to you during the call.
Michael Zaremski: Okay, perfect, thank you.
Operator: Our next question comes from Matt Carletti from Citizens. Please go ahead, your line is open.
Matthew Carletti: Thanks, good morning. A question on the ex-cat accident year loss ratio. There were a couple, a few large risk losses in the quarter. We've heard about on some other calls and American Airlines crash, a couple of energy sector items. Is there any noise from whether those or others, any kind of large risk losses in those numbers this quarter or are they pretty clean devoid that?
Craig Howie: Hi Matt, I would say, certainly, we have exposure to those losses that you've heard from other people with respect to aviation. We didn't have any significant aviation losses this quarter. They were included in our current attritional loss picks. Just as a reminder, we write aviation reinsurance. We do not write aviation insurance. As far as the other large losses, the fires, yes, again, exposure to those events, but manageable and again, included in our current year attritional loss.
Matthew Carletti: Great. Thank you. I appreciate it.
Operator: Thank you. That will conclude our question-and-answer session for today. Now I'll turn the call back over to Pina Albo.
Pina Albo: Thank you again for being with us today, and we look forward to speaking to you again soon.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.